Operator: Good day, ladies and gentlemen, and thank you for standing by. Welcome to Jones Lang LaSalle, Incorporated, Third Quarter 2016 Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session, and instructions will follow at that time. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Grace Chang, Managing Director of Investor Relations. Please go ahead.
Grace Chang - Jones Lang LaSalle, Inc.: Thank you, operator. Good morning and welcome to the third quarter 2016 earnings conference call for Jones Lang LaSalle, Incorporated. As a reminder, today's call is being recorded. A transcript will be posted in the Investor Relations section at jll.com. Any statements made about future results and performance or about plans, expectations and objectives are forward-looking statements. Actual results and performance may differ from those included in the forward-looking statements as a result of factors discussed in the company's annual report on Form 10-K for the fiscal year ended December 31, 2015, and in other reports filed with the SEC. The company disclaims any undertaking to publicly update or revise any forward-looking comment. Now with that, I would like to turn the call over to Christian Ulbrich, Chief Executive Officer, for opening remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thank you. Thank you and welcome to this review of our results for the third quarter and first nine months of 2016. I'm joined by Christie Kelly, our CFO, who will discuss our detailed financial results in a few minutes. Since this is my first earnings call as JLL's CEO, I'd like to start with a few general comments. First, I'm honored to have been asked to follow Colin Dyer and lead this great company. Colin served us as an exceptional leader throughout his 12 years as our CEO. He helped create a truly global company, led and nurtured our 2020 Strategy for focused growth and championed priorities ranging from data and technology to diversity and sustainability. As a result, our company is in strong shape today, and we have a bright future ahead of us as we move toward 2020 and beyond. We have the industry's leading platform, a comprehensive, balanced and resilient mix of businesses across all three JLL regions and at our global LaSalle Investment Management business. We enjoy deep and trusted relationships with top investors and corporate clients around the world. Our strong balance sheet allows us to continue both our progressive dividend policy and our investments in new growth. And we have the most talented people in our industry who live our values of team work, excellence, and ethics every day. In future, we will keep doing what we do well, investing in and developing top talent, leveraging the JLL platform to maintain our focus on new growth, further enhancing our corporate and investor client base. But as we continue to focus on traditional strength, we're also committed to what I call thinking beyond, especially in embracing the digital revolution, big data, and new ways of working. New technology, apps and data applications are already a big part of our working lives, but the greatest digital opportunities for real estate still lie ahead. So we will fund continued investment to make JLL the clear digital leader in real estate services, while adding to our existing strengths. These are exciting times for all of us at JLL and I look forward to the future. Now to summarize the third quarter. We delivered record fee revenue of $1.4 billion for the quarter, 15% above the third quarter a year ago in local currency. For the first nine months, fee revenue totaled $3.9 billion, 14% higher than last year. Adjusted net income totaled $65 million for the quarter, or $1.42 per share, compared with $116 million, or $2.56 per share, for the same period a year ago. For the first nine months, adjusted net income totaled $190 million, or $4.17 per share, compared with $254 million, or $5.59 a share, last year. In August, we closed the acquisition of Integral UK, the UK's leading provider of mechanical and electrical property maintenance, creating exciting new capabilities in that key market. Finally, the JLL board of directors announced a 6% increase in our semi-annual dividend to $0.33 per share. Now to put our results in a broader context, let's turn to economic and real estate market conditions. The global economy has continued its trend of steady growth. World GDP is expected to increase by 3% this year. A slight improvement is anticipated for 2017 to 3.4%, and then 3.5% growth in 2018. Asia Pacific will remain the principal engine of global growth, despite slowing momentum in recent years, particularly in China. Political uncertainty continued to dominate the headlines in the quarter, ranging from the U.S. Presidential campaign to impending votes in France and Germany. The latest news on the UK signals even more concerns of moving toward a hard Brexit. Turning to the world's leading commercial real estate market, the slides we have posted in the Investor Relations section of jll.com summarize current market conditions. Slide 4 shows that investment sales were solid in the third quarter, helping the market recover some of the ground lost during the first half of the year. Global investment activity reached $165 billion in the third quarter, 4% below the third quarter of 2015. JLL's Capital Markets and Hotels revenue increased 10% for the quarter. Year-to-date, investment sales activity stands at $454 billion, 8% lower than last year, but an improvement on the 10% decline recorded the first half of 2016. JLL again outperformed the market with 3% revenue growth in Capital Markets and Hotels for the first nine months. The weight of capital looking to invest in real estate has continued to compress yields in several markets, including Paris, Sydney, and Toronto. Overall, however, the quarter saw the weakest yield compression since 2012. Although leasing activity remained steady during the third quarter at close to 108 million square feet, global Leasing volumes were broadly in line with the second quarter, but were down 7% versus a year ago. Year-to-date global Leasing volumes were 4% lower than in 2015. By contrast, JLL's Leasing revenues were 8% higher for both the third quarter and the first nine months of the year. The global office vacancy rate currently stands at 12.1%, unchanged from the second quarter. Growth in prime office rents across 26 major markets slowed to 3.8% in the third quarter compared with 5.3% in quarter two. To sum up, one month into the fourth quarter, historically the most active three months of the year in real estate markets globally, we have a positive outlook about our own prospect for the full year. We have continued to outperform the broader market. We have continued to pursue our long-term strategy of investing in growth. We are monitoring market conditions closely, turning the information into superior advice for clients. And finally, we continue to find that clients turn to JLL in uncertain times, as we currently see in the UK, taking advantage of our experience and advice. With that, I will turn the call over to Christie to discuss our performance in detail.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thank you, Christian. I also want to begin by recognizing Colin's exceptional leadership over the past 12 years. He put our business in strong shape and left us with a bright future. For the third quarter, JLL delivered strong operating performance in the Americas, Asia Pacific, and LaSalle, partially offset by short-term EMEA challenges, particularly in the wake of the Brexit vote. Results in Real Estate Services reflect diversified double-digit revenue increases in all geographic segments and an increased proportion of annuity revenues. LaSalle had another robust quarter of annuity revenue growth and capital raising with assets under management reaching a record level. We finished the third quarter with record consolidated revenue of $1.7 billion, up 17% over the prior year and, as Christian noted, fee revenue of $1.4 billion, up 15% over the prior year, both on a local currency basis. Adjusted earnings per share for the quarter were $1.42 and adjusted net income of $65 million. The acquisitions we completed since 2015 have been instrumental in driving our profitable annuity revenue growth and accounted for a majority of our quarterly and year-to-date growth. On a consolidated basis, Property and Facility Management fee revenue grew a record 49% for the quarter, up 27% year-to-date. Project and Development Services grew 25% for the third quarter and 29% year-to-date. Advisory and Consulting grew 22% for the third quarter and 17% year-to-date. Combined, these businesses generated nearly 80% of the third quarter and year-to-date Real Estate Services revenue growth. In our transaction businesses, all in local currency, Leasing revenues grew 8%, as Christian said, both for the quarter and year-to-date, outperforming market gross absorption, which was down 7%. A good portion of these revenues are recurring. For the quarter, Capital Markets and Hotels revenue grew 10% year-over-year. We performed exceptionally well compared with an overall decline in global transaction volumes and a tough prior-year comparable of 26%. Our outperformance in Leasing and Capital Markets reflects our strong brand and our team's ability to continue to capture market share in uncertain times. Moving on to margin performance. Adjusted operating income margin calculated on a fee revenue basis was 6.1% for the quarter at constant rates, compared to 11% in the prior year when we had strong LaSalle incentive fees. This quarter's margin also reflected the reduction in transactional business and our strategic priority to grow annuity income. Combined, these factors contributed approximately 75% of the decline in quarterly margin performance versus last year. The remaining 25% of margin contraction resulted primarily from a few isolated one-time factors, including the wind-down of a non-core business in the UK, a nonrecurring UK capital markets performance fee, and reserves for receivables in Turkey that went past due because of the effects of the political upheaval on our clients. Adjusted EBITDA margin on a fee revenue basis was 8.4% for the quarter on a constant currency basis. This primarily reflects the normalization to historical levels of LaSalle incentive fees and equity earnings, which we discussed with you previously, as well as a shift in business mix, as recurring revenue growth outpaced our higher margin transactional businesses, primarily in India and specifically in the UK. Regarding M&A activity, year-to-date we have closed 25 business acquisitions, including Integral UK, a transformative recurring revenue business that will continue to expand our EMEA Integrated Facilities Management platform, as Christian mentioned. Since 2015, we've completed 45 acquisitions, representing a total valuation of up to $1.3 billion. Over 70% of these acquisitions will contribute to a more stable earnings foundation to complement our higher margin transactional businesses. Consistent with our growth priorities and commitment to an investment-grade balance sheet, we continue to manage our leverage profile and liquidity positions proactively and prudently. As reported last quarter, we expanded our credit facility from $2 billion to $2.75 billion, and extended the maturity date through June 2021 with improved pricing. Our balance sheet at the end of the third quarter reflects total net debt of $1.3 billion, an increase of $300 million from the second quarter of this year and $900 million from the third quarter of the prior year, primarily as a result of our acquisitions. Consistent with our capital allocation strategy, our board of directors declared a semi-annual dividend of $0.33 per share, a 6% increase from the June 2016 dividend, as Christian mentioned. Turning to segment results, all in local currency, third quarter fee revenues in the Americas increased 23% over third quarter 2015. We delivered strong performance across businesses and markets, with accretive contributions from acquisitions. Capital Markets generated 50% year-over-year revenue growth against a backdrop where total market volumes were essentially flat. This quarter's impressive outperformance reflects over 50% of growth generated from M&A, including the Oak Grove multifamily finance business we acquired during the fourth quarter of last year, and the balance reflecting our team's ability to capture overall market share gains. Our Leasing business outperformed the market, with growth of 13% over the prior year, particularly notable, given the U.S. leasing market decline of 2% in gross absorption volume. Property and Facility Management, Project and Development Services and Advisory Consulting all turned in impressive double-digit revenue growth for the quarter of 21%, 36%, and 23%, respectively, driven by progress on the data and service-based solutions we delivered to our clients, while we also increased cross-selling. Drivers of the positive growth include our recent acquisition of BRG, a best-in-class technology consulting business, and Big Red Rooster, a leading expert in brand experience and facilities design. Significant U.S. wins drove growth for Corporate Solutions, where collaboration and teamwork is a differentiator. This, coupled with technology investments such as Red and the acquisition of Corrigo, a digital facilities management solution, have led to nearly 100 important wins, expansions, and renewals this year. We also delivered solid performance outside of the U.S., with Latin America and Canada delivering growth across the business. Adjusted operating margin for the quarter was 8.6% on a fee revenue basis, down 140 basis points from the prior year. This primarily reflects investments made in technology and the targeted growth of annuity businesses, including within specialized segments such as healthcare and public institutions. Most recently, we acquired an affiliate of Integral, creating the strategic foundation for valuation services in the U.S., while further expanding our global capabilities. And the acquisition of ATG makes us the real estate partner to help healthcare providers fully automate and productively address industry requirements. Looking forward, our Americas team is focused on delivering another strong year by leveraging our expertise to drive value for clients. Turning to EMEA, this quarter's top line results reflect a tough comparable from the prior year and the continued slowdown of UK transactional activity, combined with the shift in business mix towards more stable recurring revenue. Total revenues for the quarter grew $76 million, or 28%, over last year and fee revenue grew by $44 million, or 24%. Capital Markets performance reflects the slowdown in investment sales activity and softer investor sentiment. Revenues in the third quarter declined by 15% year-over-year, impacted by a significantly slower UK market and outsized performance fees last year. In other parts of the region, France, Germany, Switzerland and Portugal delivered favorable year-over-year performance. Leasing revenues declined 8% year-over-year, reflecting performance in line with an overall market decline of 7% in gross absorption volume and a tough comparable from prior year growth of 23% Property and Facility Management fee revenue grew by 174%, primarily due to the acquisition of Integral UK, and 10% on an organic basis driven by new client wins and expansions. Project and Development Services fee revenue increased 9% for the quarter, reflecting organic growth in France, Spain, and the Netherlands, as well as M&A-related growth in Germany and Finland. This quarter EMEA region delivered adjusted operating margins of 0.7%, a change of 760 basis points from the prior year. About two-thirds of the margin decline in the quarter was attributable to previously mentioned one-time items, including actions taken to wind-down a non-core UK business, receivables reserves in Turkey, and a reduction in UK performance fees. Margins also reflect the deceleration of UK capital markets and leasing revenues, combined with a meaningful increase in annuity earnings from the successful Integral acquisition. The significant growth in annuity revenues positions EMEA with a more stable, lower margin mix of business. Moving on to Asia Pacific, total revenues grew by $50 million, or 16%. Fee revenue increased by $39 million, or 14%. Leasing revenue across Asia for the third quarter grew by 3% year-over-year, outperforming a total market that was down 22%. JLL had exceptionally good performance in India, Hong Kong, and Singapore. Financial and technology firms were key demand drivers across many office markets, while oil and gas companies continued to downsize. Capital Markets and Hotels saw revenues increase year-over-year by 4%, consistent with market volume growth and, despite a tough year comparable, a 48% growth, driven by a single marquee hotel transaction. The performance in the quarter was driven by excellent execution in Japan, Singapore, and Australia. Cross-border investors remained active and accounted for 16% of the regional market volumes, while institutional investors remain focused on Hong Kong, Singapore, and Australia. Another Asia Pacific highlight was the continued double-digit revenue growth of our Property and Facility Management, Project and Development Services, and Advisory and Consulting businesses, with increases of 14%, 20%, and 44%, respectively. Growth was driven by Greater China, Japan, Hong Kong, and Australia. Recent acquisitions drove the increase in Advisory and Consulting revenues. Adjusted operating margins of 6.3% for the third quarter were up 80 basis points over the prior period, primarily driven by organic growth. Our Asia Pacific team remains well-positioned with healthy pipelines of work-in-progress throughout the region. LaSalle Investment Management had a solid operating quarter and an excellent year-to-date. Third quarter advisory fee revenue grew 12% in line with the new record high of $59.7 billion in assets under management. As we said before, the decline in incentive fees and equity earnings this quarter reflects LaSalle's planned transition from maturing funds into new a series of funds. Capital raise continues to be strong with $1 billion of new equity raise this quarter, bringing the year-to-date total to $4.8 billion. Adjusted operating margin, excluding equity earnings calculated on a fee revenue basis, was 10.2% for the quarter compared with 31.4% in the prior year. The margin contraction is largely the result of anticipated lower incentive fees and the timing of deferred compensation. On an operating basis, LaSalle continues to outperform with ongoing efforts to expand margins on recurring advisory fees and to deliver superior risk-adjusted returns to our clients. In summary, we had a strong quarter in the Americas, Asia Pacific and LaSalle, and took actions to strengthen our EMEA business. Looking ahead, we anticipate 2017 will be characterized by growth in our annuity businesses, which provide stable earnings, albeit at lower margins than our transaction businesses, M&A integration, and a continued focus on increasing operating leverage across our global platform through investments and technology and data. LaSalle's incentive fees and equity earnings should revert to normalized levels. We remain confident in the future. I would like to thank my JLL colleagues for their teamwork, values, and contributions to our company. As we approach our busiest time of the year, I wish them continued success and time with family and friends during the holiday season. And now, back to Christian for closing remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thank you, Christie. Slide 12 list a few recent business wins across service lines and geographies. In the first nine months of the year, our corporate services business won 95 new assignments, expanded existing relations with another 53 clients, and renewed 26 contracts. These 174 wins totaled 497 million square feet across all regions and represent a 68% overall win rate. In Capital Markets, the quarter's highlight included the $273 million sale and $240 million acquisition financing of 275 Madison Avenue in Midtown Manhattan, the sale of the Statoil headquarters in Oslo for €419 million, and in Canada the CAD 225 million sale of the Four Seasons Toronto Hotel. Key leasing and management transactions included helping the People's Insurance Company of China, a state-owned Fortune 500 company, secure 80,000 square feet of space in Shanghai. And we were awarded property management responsibilities for the 2.5 million square foot World Trade Center complex in Mexico City, one of Mexico's largest and best known mix-use project. As Christie noted, we are pleased that La Salle Investment Management increased assets under management to a record $60 billion during the quarter, increasing its underlying base for fee earnings and laying the foundation for further growth in management fee revenue. Looking forward, how do we see real estate markets performing to the end of this year and on into 2017? For the year, investment sales and leasing volumes are likely to be 5% to 10% below 2015's exceptional levels, but still close to the highest in history. JLL research projection for full year investment sales volume remains steady at $610 billion to $630 billion, 10% below 2015 levels. In 2017, we anticipate that volumes will rebound closer to the $700 billion level we saw in 2014 and 2015. Our current projection for full year leasing volume shows them completing 2016 at about 430 million square feet, 5% lower than last year. In 2017, we see leasing volumes at level similar to this year. These market projections indicate continued robust market conditions for our transaction business into 2017. Also, corporate outsourcing trends continue to be positive and our win rates demonstrate our success in this segment. In institutional fund management, investors continue to increase allocations to real estate, given the lack of attractive alternatives in other asset classes. So we see capital continuing to flow to real estate, and particularly to proven managers like LaSalle. So, where do we see JLL in this market environment? As Christie discussed in detail, we delivered strong revenue growth for the quarter in a slower transactional market. Our margin decline reflects changes in LaSalle incentive fees, which we anticipated; our changing business mix, which is driven by the acquisitions we have completed; and isolated bad debt provisions and contract-related losses. We have accounted for all of this and we are responding with the right plan, managed by the right leaders. So we remain very positive about our own prospects in the current market and economic environment. We are taking market share from competitors. We continue to win business from corporate occupiers looking to outsource real estate services. LaSalle is well-positioned for additional growth and strong performance, and we continue to enjoy the financial strengths and flexibility to keep investing in our business. To conclude our prepared remarks, we'd like to mention a few of the awards that our colleagues around the world have earned recently. Such honors reflect our leadership position in real estate services and investment management. Just recently, we won CoreNet's Global Prestigious 2016 Global Innovator's Award and were recognized specifically for our innovation in product development platform. We earned first place in Corporate Responsibility Magazine's 2016's list of America's Most Responsible Companies in the financial insurance and real estate sector. We have been listed on the Dow Jones Sustainability Index for North America. We were named Asia Pacific's Facilities Management Company of the Year by Frost & Sullivan, the global growth consulting company. And we won Procter & Gamble's External Business Partner Excellence Award. I want to thank and congratulate all our people who contributed to these and other awards, and recognize the excellent teamwork and client service that produced them. With that, let's turn to your questions. Operator, will you please explain the Q&A process?
Operator: Yes, sir. Our first question or comment comes from the line of Mitch Germain from JMP Securities. Your line is open.
Mitch B. Germain - JMP Securities LLC: Good morning, and Christian, welcome.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi there, Mitch.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Good morning, Mitch.
Mitch B. Germain - JMP Securities LLC: I wanted to talk a bit about the outlook. In slide 13 you talk about the focus on integration of M&A. Should I imply that you guys are taking the foot off the accelerator a bit with regards to deals?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yes, that's the right assumption.
Mitch B. Germain - JMP Securities LLC: Great. So – okay, I'll take that. And then with regards to your 2017 outlook, Christian, I know that you're headquartered in the EMEA region. What are you seeing on the ground in the UK? Obviously, a lot's going to depend on whether it's hard Brexit or what's determined there. But are you seeing any buildup in activity or pipelines there?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Mitch, it's a mixed picture. From a continental European perspective, there's tremendous concern around what will happen to the UK. And as you know, I think the leadership in the – political leadership in the UK doesn't really know themselves what they are aiming for, and they are still trying to get their picture together. The further you move away from the UK, and particularly to Asia, the Chinese, the Malaysians, the Indonesians who have been investing heavily in the UK, they are not too concerned about the UK breaking away from the EU. So their interest is still very, very strong, and I would put the Americas somewhere in the middle of the two with regards to their interest. So it is still a bit early to draw final conclusions. We have quite a strong interest still in investing in the UK. We have a bit of a hesitation around signing up lease agreements from the corporate side, because they want to know what they are signing up for. So I would say it's a mixed picture. It's still a very healthy market environment, but it's clearly not as strong as we have seen in the previous years. And I think this uncertainty, which is kind of laying over the UK for the time being, will continue until we know the results of the negotiations between the UK and the EU.
Mitch B. Germain - JMP Securities LLC: Great. Just two more for me. With regards to – you talked about, Christian, embracing the digital revolution a bit. I know your capital allocation strategy used to be around $0.50 on every $1 to M&A. Now that you guys are looking at a lower amount of activity, how should we think about that strategy going forward?
Christian Ulbrich - Jones Lang LaSalle, Inc.: As every industry, the real estate industry has to focus very much on becoming much more technology-minded industry, and we are proud of leading that trend within that industry. And so we have a tremendous focus on how we can digitize every single process within our organization. And then, if you think about what's happening in all the buildings we manage and we lease, we are collecting a tremendous amount of data and we are turning that data into valuable business analytics for our clients. And this is all not coming for free, so indeed, it takes quite a bit of investment. But I can't give you kind of the detail of how much of what we have spent in the last two years is now moving into technology spend. We are still actively looking what's going on in the M&A space, and so I don't want to rule anything out at this point in time; but as I said earlier, we are starting the year 2017 with the assumption that we will take it slower on further acquisitions.
Mitch B. Germain - JMP Securities LLC: Great. Last for me is operating, admin, and other. Christie, about a 30% year-over-year increase and a pretty substantial sequential increase in that business line. Is there a way to provide a breakdown of what's really driving that increase?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah. Sure, Mitch. I think just from the perspective of the significant add in the annuity businesses year-over-year, a majority of that is the driver of more stable income that we've invested in combined with the investment in technology and our people, as we stated going forward.
Mitch B. Germain - JMP Securities LLC: Thanks.
Operator: Thank you. Our next question or comment comes from the line of Jade Rahmani from KBW. Your line is open.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thank you very much. I was wondering if you could give a little bit more color on the EMEA margins. For example, on the Capital Markets and Leasing brokerage businesses, how do compensation structures compare to the U.S.? It's my understanding that there's a much more – a greater fixed component that gets amortized through the year, and so there's a lot of negative operating leverage when we see volumes decline as they did in this quarter.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Yes, that is directionally true. We tend to have in EMEA a higher fixed comp, which has been complemented by a bonus component. So we usually don't see any commission-based brokers in the Capital Markets space in Europe. So when there's an unexpected decline in volumes, and I would call what we have seen in the UK this year a bit unexpected, the extent of the decline, it is hitting our revenue per head and then the margin profile of that business is going down. But I would like to enforce that the overall margin of our Capital Markets business in EMEA is still very, very strong. It's still our most profitable service we are offering in EMEA.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Okay. In terms of the sequential decline in margin, can you say what the impact of the Turkish receivable charges that you took were?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yes, sure, Jade. In total, that was a little over $5 million, just to give you order of magnitude.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: So putting that aside, is the main driver in sequential margin comparison the Integral acquisition, as well as the headwind with respect to the way compensation is paid out on the transaction businesses in EMEA?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Jade, maybe I can jump in there with a little clarity. I mean, as I mentioned in my prepared remarks, a majority of the margin decline year-over-year in EMEA is really due to the one-time items. First is the wind-down of non-core UK business. Second is the Turkey receivables situation that we talked about. And then thirdly is a non-recurring performance fee associated with business that we did during the third quarter last year that didn't recur this year. So when you take a look at the EMEA business, I think a couple of things that you can expect, which is I think where you're going on this, is that from an overall performance perspective, we worked really hard to complement our EMEA transaction business that we have built over the years with annuity-based business. And to that point, have the Integral acquisition as well as some other acquisitions that we've done on the continent. And you can expect a lower margin profile, but going forward very stable, very robust is our expectation.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And what would you say the normalized adjusted EBITDA margin for the EMEA segment?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Jade, we don't give guidance, but if you just really took a look at the fact that a majority of the impact year-over-year was the one-time items that I noted, and really then just extrapolated the service-oriented mix to EMEA, I think you would come up with your result in your models.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: And did you give the dollar amount of the wind-down of the non-core UK business?
Christie B. Kelly - Jones Lang LaSalle, Inc.: We gave just generally overall being two-thirds of the driver.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Okay. In terms of the broader Capital Markets -
Christie B. Kelly - Jones Lang LaSalle, Inc.: I should say ...
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Go ahead.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Jade, I would say just to help you a little bit, I mean, between those three items that we talked about, a majority of – you can just split it a third, a third, and a third between Turkey, the wind-down, and the performance fee.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: The UK integrated (sic) [Integral] acquisition, was that accretive in the quarter?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Say that one more time, Jade?
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Was the UK Integral acquisition accretive in the quarter?
Christie B. Kelly - Jones Lang LaSalle, Inc.: No. No, it was not accretive in the quarter, just because of the fact that we had the timing of margin at a lower margin business, as we've talked about. So overall, the acquisition itself is profitable, performing along with expectations, but it's annuity-based business, and as we said when we announced the transaction, it's a much lower margin business profile. So, not accretive to the overall performance of average margins in EMEA; accretive as an acquisition in and of itself, and something that we're really excited about, welcoming the folks from the Integral team.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: In terms of the broader property sales business, it seems like you guys have had some prominent big wins recently. Can you just talk to interest level in transactions, maybe give some color on bid lists? Just trying to understand what the investor appetite is and if you're seeing any moderation or if you think that moderation has been mainly on the larger deal side.
Christian Ulbrich - Jones Lang LaSalle, Inc.: I think it's fair to say that the overall interest is slightly less than we have seen in previous quarters, and that has been a trend during this year. We still have strong enough interest to get to – as we have mentioned, to new record levels, low yields in many places around the world, but the list of interest is slightly shorter. And as I mentioned before, you have, I would say, an even greater importance towards the Asian investors on big deals out there than we had before, particularly when we talk about UK investment. But also in some other places they play a more important role than they have played before.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Okay. And just finally with the moderation in M&A, how do you think about appropriate financial leverage in 2017 or on a normalized basis?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi there, Jade. We haven't changed our viewpoint on keeping a very sound investment-grade oriented balance sheet. So, we're managing our profile to under 2 times.
Jade Rahmani - Keefe, Bruyette & Woods, Inc.: Thanks very much.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Jade.
Operator: Thank you. Our next question or comment comes from the line of Brandon Dobell from William Blair. Your line is open.
Brandon B. Dobell - William Blair & Co. LLC: Thanks. Actually maybe leveraging off of Jade's questions in the EMEA region. How do we think about, I guess, the margin trajectory within the Americas region based on what we saw this quarter? I know there's going to be some accelerated investments in technology and such. But is there anything to call out that we need to think about as we model Q4, but more importantly, going into 2017 relative to this quarter's performance in the Americas?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think, Brandon, we've been pretty clear about our focus on driving annuity-based income performance.
Brandon B. Dobell - William Blair & Co. LLC: Yes.
Christie B. Kelly - Jones Lang LaSalle, Inc.: And specifically too coupled with our investments in primarily technology and the benefits that they're also providing. So, to that point, I think that you can model, as we've said in the past, strong operating performance in the Americas as we enter our strong fourth quarter. But to that point, as it relates to anything looking to the future, it's your prerogative. We don't provide guidance.
Brandon B. Dobell - William Blair & Co. LLC: Okay. And as you look at the interplay between the annuity businesses and the transaction businesses, maybe if you look at this year versus last year third quarter to-date, how much kind of cross-sell bundling larger contracts that involve multiple service lines do you see coming in or you having success on annuity contract renewals linking in transaction businesses or vice versa? Just trying to get gauge of, let's call it, a cross-sell momentum that you guys have between the different service lines.
Christian Ulbrich - Jones Lang LaSalle, Inc.: I think I will start with the question. I think overall, there is a demand from our clients to receive solutions and not a service. And with that demand that they expect solutions from us, it implies that we have much more bundled services which we offer to them, and so that they really get a holistic offering from us. And so that cross-selling is becoming increasingly important so that we sell a variety of services to the same clients, not only within one country or one region, but across the world and that is what we are really good at and what we are trying to accelerate in our offering. Christie, do you want to add on that?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think the only thing I would add to that, Christian, is as I commented, Brandon, in my remarks, we're seeing some really strong cross-sell opportunities that we're winning in our Corporate Solutions business as a result of our investment in Corrigo, as well as BRG and Big Red Rooster. So there another example. We also see great cross-selling happening in our countries where we've invested in our Tetris business, and all in alignment with underwriting assumptions as we embrace our new colleagues through acquisition.
Brandon B. Dobell - William Blair & Co. LLC: And to that point, it seems like, based on your comments, you've probably got the right compensation structures or incentive structures in place. But do you anticipate having to make any changes to how people are aligned or how they're paid based on how you guys see some of either technology cross-selling or technology utilization or the different service line bundling working?
Christian Ulbrich - Jones Lang LaSalle, Inc.: I don't expect that we need to make any specific changes. I would only say that there is an underlying trend, not only in our industry, to move part of the compensation to a bit more long term, and that is what we do as well and what we drive. And so especially the most senior folks within our organization are more and more aligned to the overall result and not only to the specific P&L they are working for, but also to the longer-term success of the company. A company with our long tradition of more than 250 years needs people who think long term and to supporting that growth long term.
Brandon B. Dobell - William Blair & Co. LLC: Okay. And then final one for me. Maybe, Christie, with – as you think about full-year capital need 2016, where do you guys expect to come in on CapEx and capitalized technology investments? And then is there anything major that we should think about for next year that is not going to recur, or is there a step-up in some area of the technology investments that would change how we think about the capital needs in the business?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think I can offer a couple of things there, Brandon. I mean, first, if you just take – there's nothing significant in 2016. And if you just take the third quarter and strike that on a general run rate basis, I think you'll be fine.
Brandon B. Dobell - William Blair & Co. LLC: Okay.
Christie B. Kelly - Jones Lang LaSalle, Inc.: As we move forward and as we've talked about as it relates to our capital allocation strategy, we've invested over the past three to five years 50% on M&A and a third on technology. And as we've talked about, we may see that adjust a bit as we move forward and really drive for increased technological solutions on behalf of our clients.
Brandon B. Dobell - William Blair & Co. LLC: Okay, great. Thanks a lot. Appreciate it.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Brandon.
Operator: Thank you. Ladies and gentlemen, in the issue of time we ask that you please limit yourselves to one question and one follow-up. Our next question or comment comes from the line of Anthony Paolone from JPMorgan. Your line is open.
Anthony Paolone - JPMorgan Securities LLC: Yeah. Thanks and good morning, everyone.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Good morning, Tony.
Anthony Paolone - JPMorgan Securities LLC: Good morning. So just to understand – not to beat a dead horse on the EMEA margins, but just to understand. If I look at your roughly $11 million of EBITDA in the quarter, it sounds like from your comments, Christie, that if you didn't have the one-timers, that would be closer to about $25 million, $26 million. Is that kind of the right takeaway?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I think that's fair. Absolutely, Tony.
Anthony Paolone - JPMorgan Securities LLC: Okay. So then if I think about that from a margin point of view, it's off about 300 or so bps from the same quarter last year. Should we think about that, given the mix and sort of the post-Brexit impact, as being sort of the way forward over the next few quarters as you kind of comp against, I guess, what was a pre-Brexit world?
Christie B. Kelly - Jones Lang LaSalle, Inc.: I absolutely think that's a really sound way to look at it. And then the only thing I would add is just make sure to incorporate, as we've shared, the Integral mix impact.
Anthony Paolone - JPMorgan Securities LLC: Okay. And then in the Americas Leasing, you were up 13% and sales were up 50%. Can you give those numbers ex-acquisitions? And just trying to understand also, if you have those numbers ex the acquisitions, do you think you picked up share organically or not?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yes. We actually absolutely picked up share organically, Tony. So if you take a look, for example, at our contributions for Capital Markets in the Americas, excluding the Oak Grove acquisition, the Americas still outperformed the market substantially. We were up 21% year-over-year and continued to gain market share, thanks to all the hard work of the team, as you know.
Anthony Paolone - JPMorgan Securities LLC: Okay. And then just -
Christie B. Kelly - Jones Lang LaSalle, Inc.: And we could say the same – I think you asked about Leasing, too. We would say the same thing about Leasing.
Anthony Paolone - JPMorgan Securities LLC: Okay. Got it. And then just last one on the competitive landscape, can you talk about that a bit and where you're seeing it most competitive in terms of people by either region or business segments?
Christian Ulbrich - Jones Lang LaSalle, Inc.: I would say we have a normal kind of environment at the moment with regards to our competitors and the fight for talent. No kind of outstanding situation in quarter three. I think we are faced with people trying to attract our talent mostly in the regions and in the countries where we are the clear number one in the market. And so it tends to be very often in Asia Pacific and the major European countries, where people try to attract our talent. But it's nothing which would draw major concern to me. It's all kind of course of normal business what we are seeing. It goes both directions.
Anthony Paolone - JPMorgan Securities LLC: Okay. Am I allowed one more?
Christian Ulbrich - Jones Lang LaSalle, Inc.: Sure.
Anthony Paolone - JPMorgan Securities LLC: Thanks. I just – you mentioned, as you look out into 2017, more normalized levels of equity earnings and incentive fees. Can you give us a sense as to what normalized is?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Sure. Sure, Tony. I know you're just trading hats here on coverage, but we've said over the past year, even longer than that, that our normalized levels are $40 million – have been historically $40 million in incentive fees and $20 million in equity earnings.
Anthony Paolone - JPMorgan Securities LLC: Okay. And where do you think that comes in for 2016?
Christie B. Kelly - Jones Lang LaSalle, Inc.: We've said that, as it relates to 2016, we don't give guidance. And previously, during the second quarter, I had said that based on our performance year-to-date that – and together I also said in the first quarter that our incentive fees and equity earnings performance would be front-loaded. Meaning, front-loaded in the year.
Anthony Paolone - JPMorgan Securities LLC: Got it. Okay. Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Tony.
Operator: Thank you. Our next question or comment comes from the line of Brad Burke from Goldman Sachs. Your line is open.
Brad Burke - Goldman Sachs & Co.: Hey. Good morning, guys.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Brad.
Brad Burke - Goldman Sachs & Co.: A follow-up to Brandon's question on the Americas margins. I realize that the annuity mix was a headwind to EMEA, among some other things. But in the Americas, you actually saw the transactional revenue grow more than the annuity revenue, and you still saw a pretty substantial year-over-year decline in fee revenue margin. So I'm just trying to understand what would be driving that, as mix didn't appear to be the issue.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah. I think I said the substantial portion of the 140 basis points decline, Brad, was in investment. And that includes technology, which we've been pretty clear about and it's really helping then to drive wins in the Corporate Solutions business and that it also included people. So...
Brad Burke - Goldman Sachs & Co.: So those are non-capitalized technology investments?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah.
Brad Burke - Goldman Sachs & Co.: Got it. And then the – you had said – I guess just to follow-up on the Integral acquisition. You'd said that it wasn't accretive in the quarter, and I assume that you mean that it wasn't margin accretive, because you funded it with your revolver. Is it right to assume that Integral was accretive to overall EPS in the quarter?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yeah, that's correct. But just from a margin performance percentage basis year-over-year, it's a lower margin business, as I know you know.
Brad Burke - Goldman Sachs & Co.: Got you. Okay. Thank you very much.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Brad.
Operator: Thank you. Our next question or comment comes from the line of Marc Riddick from Sidoti. Your line is open.
Marc Riddick - Sidoti & Co. LLC: Hey. Good morning.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Hi, Marc.
Marc Riddick - Sidoti & Co. LLC: I did want to touch a little bit on the pace of business in the Americas, and maybe if you could sort of put a little additional color on maybe what you're seeing there trend-wise that drove growth there, whether or not there's a flow of funds or what have you? If you could sort of add a little bit of color on Americas' growth, please.
Christie B. Kelly - Jones Lang LaSalle, Inc.: I'll just give the stats here, Marc, and then we can follow up specifically with some of the trends that we're seeing. But when we take a look at the Americas, the Americas had substantial outperformance. From an overall perspective, the Americas, driven by the United States, was up 50% on a local currency basis in Capital Markets, and that's essentially really driven, as I said, 50% by acquisition and 50% by organic growth, because of the hard work of the team. And then from a Leasing perspective, our Markets business also significantly outperformed when we take a look at year-over-year up over 13% versus an overall market that was down. In terms of specific trends, I mean, the business is hitting on all cylinders. We're seeing nice growth around the major markets, and nothing specific of note in terms of major capital flows or anything like that that we can really point to, as you heard in the highlights for the third quarter. But I'll pass it over to Christian a bit just to comment on what we're seeing around the globe, because I think that's really relevant.
Christian Ulbrich - Jones Lang LaSalle, Inc.: I mean, overall, we will see, going forward, an environment which I would call more of the same. We are in a fully healthy environment for the type of services we are delivering. Even if it's not a record year from volumes in most markets around the globe, it is still on a very high level, and therefore I think we are pretty confident on our ability to continue to drive growth and to take market share.
Marc Riddick - Sidoti & Co. LLC: Okay. And I was wondering if you could sort of – actually that kind of touches on things, and some of the other questions that I had previously have already been answered, so I'll jump back in queue. Thank you.
Unknown Speaker: Thanks, Marc.
Operator: Thank you. Our next question or comment comes from the line of Mitch Germain from JMP Securities. Your line is open.
Mitch B. Germain - JMP Securities LLC: Hey, Christian. Any decision on your part to possibly institute a policy regarding providing some sort of guidance for the year other than the market-level outlook?
Christian Ulbrich - Jones Lang LaSalle, Inc.: I have a such smart CFO sitting next to me and she told me no guidance, so how could I contradict her?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Actually, Mitch, we've talked about that a lot. And from the perspective of the market-level guidance, together with historically how we've run this company for well over a decade, guidance isn't something that we're looking to do going forward. However, I think that you can see in the remarks over at least the past couple of years, to the extent that there's something significant that would be of interest to our investor and analyst community such as we communicated with LaSalle incentive fees and equity earnings, then we look to do that and provide that during our quarterly remarks. I hope that's helpful.
Mitch B. Germain - JMP Securities LLC: Thank you.
Christie B. Kelly - Jones Lang LaSalle, Inc.: Thanks, Mitch.
Operator: Thank you. Our next question or comment comes from the line of Anthony Paolone from JPMorgan. Your line is open.
Anthony Paolone - JPMorgan Securities LLC: Yes, thanks. So I understand the desire and need to continue to invest in the organization through the cycle. But how do you think about that as it just gets late in the cycle? Do you feel like there is anywhere in the system to institute cost savings or if things really turn down more globally, like how those investing plans might change?
Christie B. Kelly - Jones Lang LaSalle, Inc.: Yes, of course, Tony. I mean, you've known me for a long time and from the perspective of investing through the cycle, we're committed to investing through the cycle. That is something that's really provided our company with significant strength, especially the opportunity to take advantage of downturn. But the other point of that is in ensuring that we have the appropriate balance, appropriate balance for our company, appropriate balance for our shareholders. And we're very focused on providing that appropriate balance and taking the actions where we need to, as we articulated with the unprofitable businesses that we closed a couple of years ago under Christian's leadership, together with the actions that we've currently taken in EMEA to make it a stronger business for the third quarter. And as we go forward, you can expect for us to take the appropriate actions to best balance the business and drive profitable growth for our future.
Anthony Paolone - JPMorgan Securities LLC: Okay. Thanks, Christie.
Operator: Thank you. I'm showing no additional audio questions in the queue. I'd like to turn the conference back over to management for any closing remarks.
Christian Ulbrich - Jones Lang LaSalle, Inc.: Thank you. And with no further questions, we will end today's call. Thank you for joining Christie and me, and for your interest in JLL. We look forward to speaking with you again following the fourth quarter. Thank you all.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This concludes the program. You may now disconnect. Everyone, have a wonderful day.